Operator: Good morning, everyone, and welcome to Cresud's First Quarter 2018 Results Conference Call. Today's live webcast, both audio and slide show, maybe accessed through company's Investor Relations website at www.cresud.com.ar/ir by clicking on the banner Teleconference. The following presentation and the earnings release issued last week are also available for download on the company website. After management’s remarks, there will be a question-and-answer session for analysts and investors. At that time, further instructions will be given. [Operator Instructions] Before we begin, I would like to remind you that this call is being recorded and that information discussed today, may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements. I would now like to turn the call over to Mr. Alejandro Elsztain, Chief Executive Officer. Please go ahead, sir.
Alejandro Elsztain: Good morning, everybody. We are beginning our first quarter 2018 conference call. And as we begin on the Page Number 2, we can see the main event for the quarter mentioning the agribusiness side, we see that we begun the balance sheet with one important thing in Argentina. I think, this is the biggest selling site in the Argentina in the past, $19 million, a farm sold last year and will be – the profit of this operation will be registered during this last fourth quarter. In the other side, we are planning to develop 4,500 hectares in the region, mainly in Argentina and Paraguay. Brazil is not developing this balance sheet. It's incorporating like 4,000 hectares of last year's development and not doing new ones in this balance sheet. In the farming activity, we have – the conditions of the climate up today are good. We are in our springs and good quality season for plantation of the summer crops. So up till now, everything is quiet. We are planting almost 200,000 hectares in the region, comparable to last year numbers. And in the other things, recent sale, we did, we have a company called Futuros y Opciones. Cresud is the owner of the – almost 60% of the shares of this company. And then recently, all of the farmlands, Cresud included sold. We sold 9.5% of the company. We stay with 50.1% of the shares of this company. We sold the 9% for $3 million. We had a very good result on that. We are going to explain later about this transaction. About the urban properties in Argentina, the EBITDA from the rental segments grew almost 26% compared to last year numbers. Occupancy reached 98.8% in malls, 96% in offices, 68% in hotels portfolio occupancy. About the Israel business center, the last 12 months, we had a very important move about the other market that gave us lot of liquidity to IDBD and DIC. And in the Concentration Law, we are working in DIC transference of the shares to Dolphin to meet the requirements of Concentration Law as the Israel law is asking for us. And if we speak about the consolidated financial results, we have a net result for the third quarter, making a gain of ARS 28 million. Comparing to last year, much bigger gains, ARS 278 million. From the attributable to Cresud, this year, we have a ARS 221 million, compared to ARS 23 million. So all positive and attributable to Cresud shares. And this is – we're going to explain later with Matias, why is the reason for that. And the main impact of the balance sheet of this quarter comes from a noncash result, because of the debt exchange at DIC level of ARS 2.2 billion. We are going to explain this later in detail. We can move to next Page, Page Number 3. And in here, we can see the evolution of farmland development, an increase of 4,500 acres, because of Argentina and Paraguay, because of them in this year and some sales. We are showing here some sales of the year in the first quarter. We are showing that the effect of these will be appearing in the fourth quarter of the year, the sale of La Esmeralda. So we expect a very much positive year in terms of sales, whereas liquidity in the markets in Brazil and Bolivia and Argentina, we expect sales for the next quarter. So there's no movement in the region, in the real estate segment, so we expect to do II Series now. So now, I would introduce Mr. Carlos Blousson.
Carlos Blousson: Thank you, Alejandro. Hello, everybody. Let's go to Page Number 4. As Alejandro said before, during the first quarter of the fiscal year, we consummated the sale of La Esmeralda farms in the province of Santa Fe for $19 million. The deposit will be recorded in the fourth quarter of the fiscal year with sign of the deed. Let's move to the next page. Let's begin with talking about the production forecast and with global lift ups. As you can see in the bar graph regarding soybean productions in this country, Argentina, it has accelerated up 57 million tonnes. In comparison with the last year as far as the risk area and it’s surrounding. Currently, we are started with season and the conditions are positive. Talking about corn productions. It has improved a little bit increasing by about 2%, 1.1 million to 32 million tonnes. It's more and is competing in the area with the soybean productions. Now let's look to the Brazil situations. In terms of the soybean productions, it decreased by 6% to 107 million tonnes. In comparison with the last season, is remaining on average. The corn productions went down by 2%, 95 million tonnes, because the area decreased a little bit and beans remained on average. We are in a soybean planting period and it's doing well. In terms of corn, Brasilia is important to Brazil and is planted after soybean. Talking about the last campaign in United States, the soybean harvest, it's almost done and it has a record of 121 million tonnes, 3% more than the last campaign. This shows that there's a good news on more areas. On the other hand, the corn production increased by 4% to 370 million tonnes, regardless the good news that is, I said before, with most area with soybean. And the current results was with really good productions in soybean and corn, you can see on the slide, how the U.S. stocks have grown during the last fall campaign. Because of this, the have grown too with soybean by 29.2% and with corn 17.2%. Let's move into Slide 6 about the weather conditions and commodity prices. As you can see on the left, the weather conditions in South America have been good in general, with less rain infusion on the level, which is basically impacting in the growing productions. So let's go to the commodity prices now. If you take a look of the graph, you will see that the soybean prices have been continuously decreasing by 4.4% year-to-year. As you know they remaining together with record supply. Regarding corn, prices year-to-year, increased by about 3.3% because we are helped by the United States and the rest of the world. In the Slide 7, we would like to talk about the farming activity. Well, first, regarding planting area in the region, 201,000 hectares, similar to the previous campaign. Second, the breakdown is 42%, soybean 26%, corn 15%, sugarcane 6%, wheat and 11% other crops. First, the crop production in campaign, we generated 606,000 tonnes, quite similar to the last year. Finally, the Sugarcane business year-to-year increased to 1.89 million tonnes, because in both countries that we invest in, there was a rise in productions. Let's turn to Slide 8. Well, finally, in our segment, we have solved the part of our Futuros company that Alejandro said before, FyO, it was sold of 9.5% of stakes, totaling $3.04 million and we're getting a profit of ARS 42.6 million to record in the second quarter in 2018. And these transactions will – into the company. The personal Cresud current stake stand of 50.1%. Thank you a lot, everyone, and now Matias will lead the call.
Matias Gaivironsky: Thank you, Carlos. Good morning, everybody. We move to Page 9. We can see the main event of IRSA. Remember that we control 64% of the shares of IRSA, and we consolidate the financial segment. So net income of IRSA was ARS 74 million during the quarter. This is compared with the previous quarter, was lower, but when you analyze the part that is attributable to IRSA leaving outside the minority interest, we achieved a result of ARS 553 million against ARS 200 million in the last quarter. Argentina business center of IRSA is generating very good results, a gain of ARS 2.3 billion, better results in the Rental segment, the increase in the fair value of investment properties and also good results coming from Lipstick and Banco Hipotecario. So the Israel business center generated a loss of ARS 2.2 billion. That is mainly explained by a noncash effect of our debt exchange that I will explain later. The adjusted EBITDA reached ARS 3.2 billion, more than 28% of – higher than the previous quarter in the same – of the same year – of 2017, sorry. The Argentina business center, the Rental grew by 26.1%, higher than inflation, so very good results. Occupancy, very high, on malls 98.8%, in offices 96.2% and 68.4% in hotels. During the last shareholders meeting of IRSA, IRSA approved a dividend of ARS 1.4 billion. That represent a dividend yield of 5%. That is we're paying today. At the same time that Cresud is paying as well, we approve a dividend for Cresud of ARS 395 million that we are distributing today. As a subsequent event after the closing of the quarter, IRSA sold 10.2 million shares of IRCP, the IRSA commercial properties for $138.2 million, increasing the free float of IRSA commercial properties from 5.4% to 13.5%. IRSA still control IRSA commercial properties with 86.5%. Regarding the Israel business center, DIC complete the dividend payment of ILS 694 million, so recently paid ILS 181 million. Remaining part of that can go to either in part to IRSA. We control 8% from IRSA – about 97% sorry, from IRSA directly. Also IDB received a nonbinding offer for Clal, the value close to book value, so that is much higher than market value. So it's in the process of a reissuance and the regulators should approve the transaction. And also, we are working hard regarding the Concentration Law. There was a requirement to fulfill our structure according to the law, that we have to do it before the year-end. So everything is in place, and we expect to close the transaction in the near future. So going to our financial statement in Page 11. You can see the operating income of our main segments. So starting with the agribusiness, we have on farmland sales, an increase in results from ARS 70 million last year to minus ARS 4 million this year. It basically explains because we – last year, we sold Invierno and La Esperanza in Argentina, and this quarter, we haven't sold yet a farm that we recognize the result. We sold La Esmeralda. That will generate around ARS 288 million, but we will recognize by the end of the fiscal year, probably the last quarter of this fiscal year. So in the meantime, we are not generating any result in this segment. In the farming, we have an important increase from minus ARS 109 million last year to ARS 161 million. In the previous year, we had an effect on prices. Remember that the prices of corn and soybean reduced from June to September. So we would recognize that there may have been effect at that moment. This year, we don't have that effect, and also we have some increase in prices so we have a better result in corn. In sugarcane, we are having better results on the farm that we acquired in Brazil, Sao José farm, so we have better results this year. Others from ARS 35 million in the previous quarter to ARS 3 million this quarter. Here, we have a combination between our meatpacking facility that is generating losses against a result of deal that is generating profit, but lower profit than the previous year. On Page 12, we have the results of our Argentina business segment and the urban business segment. That we have the Rental segment that is growing at 23% compared with the previous year. Sales and development that would have an important sales during any of the two quarters, in 2017 and 2018, so basically, we have expenses. And financial and corporate expenses that is allocated on the headquarters in this segment that is generating ARS 82 million negative against ARS 78 million over the last year. Regarding Israel business center, all the subsidiaries are generating good results. When you see their operating income of the C real estate, the supermarket Shufersal and the Cellcom telecommunications, all are growing in both, in operating income and net income. So finally, when you go to Page 13 and you have all the combination of all the facts, we finished with a gross profit of ARS 6,891,000,000, 24% higher than the previous year. Then we have the result from the changes in the fair value of our investment properties. That increased 140%. Basically, all the fact came from the urban business – the urban segment of IRSA, basically, shopping centers and malls. And so, we achieved ARS 3.4 billion during the quarter that finished in September. So finally we finished with an operating income that is 98% higher than the previous year. That is – we achieved ARS 5,527,000,000 million in the quarter. When we go to Page 14, so leaving aside the operating income, the other important effect is in the net financial results, and you see the comparison. We have a lower result or higher loss in this quarter, ARS 4.6 billion – ARS 4.7 billion against ARS 1.6 billion. Most of this effect came from Israel. When you see, Israel is generating around ARS 3.4 billion of loss – sorry, one second, sorry, it's – sorry ARS 3.9 billion that came from Israel. From that, ARS 2.2 billion is a swap that we did in some of the bonds at the DIC level that we exchanged bonds that we used to record as the acquisition. When we started to consolidate the IDB, we still have that debt at market value that was lower than the face value. And now, we are exchanging debt from market value to market value, so we recognize a debt noncash effect during the quarter. That is ARS 2.2 billion. So leaving aside that effect, the other important effect is the net financial results, is regarding exchange rate. We have a higher devaluation this year against the previous year, 4% devaluation against 2%, so we have a little higher exchange of financial and currency effect regarding our dollar denominated debt. So with this, we'll finish the result with a net income of ARS 28 million against ARS 278 million on the previous year. When you see the part attributable to Cresud, leaving aside the minority interest, the result is better, ARS 23 million against ARS 221 million in this quarter. So finally in Page 15, we have the net debt of the company. That is $321.5 million. We have amortization during the year 2018. We have $221 million that matures in 2018 – during the calendar year of 2018. So we will work to refinance this debt in the market. So we will work to extend the channel. And also we have a positive effect from the difference between the dividend that we are paying and the dividend that we are collecting from IRSA that is around $40 million. That will increase our cash position plus the farms that we sold. So we have some positive cash effect from the refinance. So we plan to refine in the market. So with this, we finish the presentation now. We invite you to ask questions.
Q - :
Operator: [Operator Instructions] As we have no questions at this time, I would like to turn the floor back to Mr. Alejandro Elsztain for any closing remarks.
Alejandro Elsztain: Thank you very much. We are beginning the year in good conditions of the climate, no liquidity under real estate, sounds like liquidity for the selling farm is coming mainly through Argentina. That, in the past, was not. And in the Rental, we saw very good position everywhere, so we are very optimistic on the year. So thank you very much and have a very good day. Bye.
Operator: Thank you. This concludes today's presentation. You may disconnect your line at this time and have a nice day.